Operator: Good day everyone and welcome to the TD Ameritrade Holding Corporation’s March Quarter Earnings Results Conference Call. This call is being recorded. With us today from the Company is President and Chief Executive Officer, Tim Hockey; and Chief Financial Officer, Steve Boyle. At this time, I would like to turn the call over to Jeff Goeser, Director of Investor Relations. Please go ahead, sir.
Jeff Goeser: Good morning everyone and welcome to our second quarter fiscal 2017 conference call. You can find everything related to this morning’s announcement on our corporate website amtd.com including our press release and the related presentation slides, just click on Investor Relations. These slides include our Safe Harbor statement and a reconciliation of certain non-GAAP financial measures to our most comparable GAAP financial measures. Information about relevant risk factors can be found in our Forms 10-Q and 10-K, which are also available online. This call is intended for investors and analysts. Questions from reporters can be directed to our media relations team or you can follow our Twitter handle @TDAmeritradePR which will be live twitting this morning’s call. We have a large number of covering analysts. So for those of you planning to participate in the Q&A, we ask that you limit your questions to two, so that we can get to as many of you as possible. And now, I’d like to turn the call over to TD Ameritrade President and CEO, Tim Hockey. Tim?
Tim Hockey: Thanks, Jeff and good morning, everybody. Well, what a quarter. It was a strong quarter with multiple records across our business from asset gathering and client satisfaction to our core financial fundamentals, nearly every benchmark of indicating improvement over the same quarter a year ago. It was the quarter of the investor, as investor confidence soared and engagement continued following November’s Presidential election. While the markets themselves were relatively calm, the sheer volume of news coming from companies, policy makers, and the White House itself was enough to encourage investors to revisit their portfolios and consider how to best position themselves for the future. The DOW surpassed 20,000 for the first time, an incredible milestone. Job numbers remained strong and the Fed followed up December’s interest rate hike with another move in March. With investors engaged and asset-based revenues finally realizing some much needed tailwinds, the competitive environment intensified. The result was an industry-wide effort to redefine value via lower commission prices for our clients, more on that in a few minutes. We had a strong quarter, one that is traditionally one of, if not the busiest of the year. Our net revenues exceeded 900 million for the first time. Record asset gathering helped push total client assets to another record high. There was indeed money in motion this quarter, we tapped our marketing team to capitalize, making incremental investments to drive organic growth and they delivered. So let’s jump right into the results, so we look at our quarterly financial highlights on Slide 6. Each of our core financial metrics are up from last year. EPS was up 5% from the same quarter last year to $0.40 per share. Trading activity was a record 517,000 trades per day, up 2% from last year. Net revenues were a record $904 million, up 7% and our net new client assets were a record 19.5 billion, up 38% from last year. That’s a 10% annualized growth rate. Total client asset ended the quarter at a record $847 billion, up 19% from last year. Fee based investment balances were also a record at 185 billion, up 15% from last year. And interest rate sensitive assets were $124 billion, up 11% from last year. For more about how we got here, let’s start with asset gathering on Slide 7. Our sales teams had another strong quarter with net new client assets closing in on $20 million. The quarterly split this quarter was roughly 75% to 25% institutional to retail. Net asset flows remained positive and in fact improved by nearly 60% year-over-year. Within the retail channel, specifically, strong investor engagement presented an opportunity to mobilize and drive new money into the firm. Calls into our service centers were up as were the number of clients logging into their accounts and placing trades. We ramped up hiring and shifted marketing media to spend to attract the money in motion. The result was a record quarter for asset inflows and gross branch sales versus last year. Retail asset outflows were up as well, but the attrition rate remained well within historic norms. We started the quarter with the launch of a new advertising campaign, the Green Room. I hope you’ve all had a chance to see the work. Our marketing team has created a strong visual representation of our brand that is already changing the way clients and prospects alike view TD Ameritrade. The message that TD Ameritrade is a place where it’s okay and even encouraged to talk about your financial goals no matter what they are is resonating with consumers more than any other campaign we’ve launched in recent years. We also formally launched Essential Portfolios our robo-advisor. We offered it as a companion to our more robust Selective Portfolio experience of what was formerly known as Amerivest when our clients bought in. Sales of both Essential and Selective Portfolios were strong in the quarter, with Selective sales up 17% alone and inflows for both products largely comprised of new money from existing clients. The average account size of an Essentials Portfolio client is about half that of the Selective Portfolios client, so the two offers are not really competing with each other. They complement each other and demonstrate the logic of our continuing approach, a commitment to offer multiple solutions that fit however the client chooses to interact with. So work continues to build up out that continuum even further. Once complete, we expect to have a strong lineup that can follow an investor seamlessly from a completely self-directed offering to a relationship with an independent advisor. We’ll continue to update you on our progress. On the institutional side, momentum continues in all channels of the business. New advisors, breakaway brokers, and existing RIAs continue to grow and bring in new assets and the pipeline for Q3 and beyond looks quite healthy. Differentiation remains our focus and we’re delivering value for RIAs by helping them run smarter, more efficient practices, further automating our operations is key. RIAs today want everything at their fingertips and we want to be one step ahead of them, anticipating what they need and serving it up before they can even think to ask for. From automating check deposits and account opening processes, we’re encouraging advisors to go paper less. We’re building in more efficiencies that help to make us and our advisor clients more scalable. In fact if we were doing things the same way we did in 2011, we would need 50% more people in our institutional business to do them. This transformation now several years in the making allows us to do more and to do it more efficiently than ever before. This is a journey that we expect will continue given ongoing enhancements in modern technology. You should expect efficiency to remain a top priority for us. We’re also looking at ways to further monetize our asset base. Our scale puts us in a great position to get creative and try new things. Product distribution as we’ve discussed on past calls is one area of focus, but there are others as well. For example, we recently joined forces with Dimensional Funds, the largest mutual fund family on our platform, in a strategic relationship that allows us to leverage each other’s vast distribution network. It also makes DFA’s funds available to advisors for a reduced rate and introduces new educational and practice management resources. We’re evaluating other opportunities as well and we’ll share more once details have been finalized. Let’s take a look at trading now on Slide 8. Our 517,000 DARTS were a new quarterly record and April trades to date remain a healthy 485,000 per day. Our investor movement index which measures client trading behavior rose each month of the quarter ending March at an all-time high. Clients were net buyers, selling positions approaching highs and reinvesting in proceeds into new opportunities as they gradually increased their equity exposure. Engagement remained high as investors continued what they started last quarter, aligning our portfolios with the sectors they think will best benefit from the new administration. A high frequency of news and information coming out of Washington has helped prolong that activity, although market dynamics in general have been relatively tamed. Intraday volatility has been historically low. The VIX, for example, had its lowest quarterly average in more than 10 years and yet the number of accounts trading was up 10% from last year. Strong investor engagement coupled with low volatility tends to influence our trade mix. Equities comprised a larger piece of the pie, but derivatives were still strong at 41% of the quarter’s DARTS. Clients also continued to embrace the mobile trading experience. We saw a record 111,000 trades per day come to us via mobile devices. With 37% of log-ins and more than one in five trades coming through our mobile platforms, we cannot stress enough the importance of continuing to invest in that experience. It’s no longer acceptable to simply offer a mobile platform that complements what the client can do on a web or a desktop based platform, it has to stand alone. That’s why we’re investing to create uniformity throughout our entire trading ecosystem. After all, it’s our ability to deliver the at-most flexibility and choice, coupled with outstanding education and service that drives so many investors to choose us for their trading needs , and we’re committed to giving them a value rich experience. For more on that let’s move to Slide 9. Throughout this quarter, we had a unique opportunity to offer even more value to our clients, decreasing our commission rate to 6.95 per equity trade. The strong organic growth we’ve experienced over the last ten years has helped position TD Ameritrade as a firm with tremendous scale. We expect that scale to only improve once we close on our acquisition of Scottrade, a company that has long been known as a value conscious player in the industry. In fact, the additional scale we achieve is the hedge against the lower commission environment. Our combination plus the economic advantages we’re realizing in a rising interest rate environment will further enhance our competitive position and strategic flexibility. We believe the industry is large enough to accommodate multiple business models, just as we believe the breadth of our trading offering justifies a reasonable premium. We were comfortable at that premium when we read 9.99 and we’re comfortable today at 6.95. For that reason a reduction of 30% on our base commission rates was a relatively easy decision to make on behalf of our clients. The move will likely reduce our fiscal 2017 revenue by $80 million to $90 million, but that impact is more than offset by the impact of the rising rate environment on our asset based revenue. Steve will explain it further in a few minutes. We don’t believe trading should be cost for heavy differed investors, that’s been very essence of why we were founded 42 years ago and it remains an important part of our client first focus today. We’ve long negotiated with clients and while retail negotiations and account transfers did pick up, where as other firms announced their own pricing moves, the trend has been stabilized. Today we feel quite good about the competitiveness of our offering and given the trends we’ve seen since announcing the change, we believe our clients and prospects feel good about it too. We had record net new assets, record trades per day and record new funded accounts this quarter, all signed with healthy organic growth. Now let’s cover off on some of the other things we did for our clients on Slide 10. Our work continues companywide to enhance the TD Ameritrade client experience. From a functionality perspective the big launch was of course the Essential Portfolio, but we launched an app in the quarter to support the entire TD Ameritrade investment management services continuing. Whether you have an essential portfolio or a selective portfolio, clients can view their goals and keep tabs on their progress. And updates are already on the works to add more interactivity and bringing greater parity with the web based experience. We’re piloting a new branch relationship model, expanding the effort into several regions across the country and more and more of our clients are taking advantage of the free goal planning services offered through our financial consultants. We’re finding that goal plans are driving larger conversions, a greater likelihood of adopting guidance solutions and greater net new client assets. For our institutional clients, we hosted our annual national LINC conference in February, sharing news, practice management advice, technology and networking opportunities with thousands of independent registered investment advisors. It’s a key sales event where our teams make many of the connections that help drive our pipeline for quarters to come. At the conference we introduced advisors to the model market center, a one of a kind supermarket of plug and play investment model powered by our iRebal technology. The market center helps advisors to utilize the models of other asset managers and investment strategist while still retaining trading discussion over their client’s accounts. Advisors can utilize the model at a lower cost than traditional outsourced investment solutions and there is no investment minimum for assets held at TD Ameritrade institution. It really brings the concepts of flexibility and choice to life for clients in a unique way. Internally, we continue to deploy more agile technology development teams to streamline processes and drive greater operational efficiencies that in turn bring greater value to the client experience. Agile teams this quarter launched a new platform that centralize market and credit risk management functionality across the company. They introduced updates to our VEO One advisor platform and they developed new processes to help further improve and automate client account openings and money movement among other things. Our people have really been the difference makers here. Throughput has been a rallying cry, something we said we need to get better at if we want to deliver a superior client experience and our people have answered the call, delivering a nearly two fold improvement in throughput versus the same quarter last year. It’s truly impressive and because of that we hope to be sharing even more wins with you in the quarters to come. In addition, we continue to see progress in our client experience benchmarks. Net advocate scores within our retail and institutional channels continue to increase. And we were pleased to see many of our platforms and client offerings honored by third parties in annual broker rankings. We were named the number one overall broker by stockbrokers.com, which also named us number one in six other categories including customer service, mobile trading and platforms and tools. Stockbrokers.com also ranked our brand new essential portfolios among the top three robo-advisors. We’re also once again named the best for novice investors and best for long-term investing in Barron's annual broker review. Now, each of these awards is a credit to our teams and the work they to do serve our clients, but they are not the end game for us. Winning client loyalty, improving our share of wallet and building lasting relationships with clients is how we ultimately measure our success, but third party recognition definitely suggests that we’re on the right track. This makes us even more optimistic and excited to share what we’re building here at TD Ameritrade with the clients at Scottrade. Integration planning continues and we look forward to receiving regulatory approval for a targeted September close. Now, with that I’ll pause and turn it over to Steve for the financial review.
Steve Boyle: Thank you, Tim, and good morning everyone. As Tim mentioned, we did have a very eventful quarter. Yeah, despite that we continued to deliver strong core business results. Let’s begin with the year-over-year comparisons on slide 12. Earnings per share was up 5% on revenue of 904 million. Transaction revenue increased 5 million or 1% due to 8,000 more trades per day, partially offset by $0.35 decline in base commission rates including a partial quarter impact of rate cuts. Asset-based revenue was up 56 million or 12% due to high average balance growth of 16% as well as higher rates. Operating expense was up 43 million including incremental spend related to technology and Scottrade related expense. We had robust marketing spending consistent with last year. Let’s move to the next slide to review the linked quarter comparisons. Strong revenue growth was offset principally by seasonal expense items which we’ll review in detail in a minute. Transaction revenue was up 10 million due to 30,000 more trades per day, reflecting seasonal increases in active markets including the Snap IPO. Asset-based revenue was up $11 million on balance growth, duration extension and rates. Finally we incurred a slightly higher tax rate. Let’s move to the next slide. IDA revenue was 269 million, up 34 million or 14% year-over-year, due to balance and rate growth. Average balances were up 11 billion or 13% year-over-year, net yields increased 10 basis points sequentially. Floating rate balances benefited from the Fed moves, while extensions were placed on the ladder at higher rates that balance is ruling off the ladder. In the quarter we extended over 4 billion in balances at an average net rate of 166 basis points as compared to 2 billion in maturities at an average net rate of 147 basis points. Laddered maturities for the rest of this fiscal year average 141 basis points net of management fees and FDIC insurance. Let’s move on Slide 15. Net interest revenue for the quarter was 154 million, up 7 million or 5% from last year due primarily to segregated and corporate cash balances on rates. Margin revenue was down slightly year-over-year as repricing from the rate increases was offset by negotiations and balances skewing towards higher balanced years. Also there was one less interest day in the quarter. Stock lending are made relatively stable. We don’t expect a significant lift Snap IPO due to its liquidity. Sequentially, segregating cash revenue increased 3 million and margin revenue increased 1 million. Margin rates were up 11 basis points, following the December Fed move, offset by two last interest days. After the March ‘17 Fed move, we increased margin pricing by 25 basis points on borrowers with negotiated pricing, but left all other margin pricing intact. We would expect to see that change reflecting in the financials beginning with next quarter. Fee-based revenue was $103 million for the quarter, up $15 million year-over-year. Advised balances or the combination of Essential Portfolios, Selective Portfolios, and AdvisorDirect were up 20% year-over-year. As Tim mentioned, each of these offerings complement each other, reinforcing the need for a continuum of solutions as we work to grow our shared wallet. Early results from the Essential Portfolios’ launch were positive, as we were approaching nearly $0.5 billion in assets just a few months into the launch. Let’s move to the next slide. Interest rate sensitive asset balances were $124 billion at period end, up $12 billion or 11% from last year, generating substantial earnings power. Cash as a percentage of total client asset ended the period at just under 14%, down from last quarter as clients were significant net buyers in the quarter. Although the yield curve flattened in the quarter, it is still above the high end of our original guidance range. Additionally, the benefits of these rate increases continued to exceed our expectations as pay rates to date have been lower than anticipated. We have updated our rate sensitivity to account for balance growth, management fee increases in the IDA and the potential for further price in competition. Our new range for the next 25 basis point parallel shift in rates is $0.06 to $0.10 earnings per share. Long-term deposit betas will depend on competitive dynamics, but will likely trend higher over time. Let’s move to the next slide for a deeper dive on expenses. We are rolling forward operating expenses between periods beginning with the year-over-year comparisons. In addition to normal compensation increases, expenses were up $43 million largely due to technology investments, Scottrade related items and higher incentives related to record net new assets. We incurred $8 million of Scottrade related expenses in the quarter as integration teams made significant progress in their planning efforts and certain deal costs were recognized earlier than expected. Sequentially, we had normal seasonal increases in advertising and compensation as well as higher incentives in addition to the Scottrade related and technology growth. With investors so engaged and the potential for more money in motion, we can, we believe, continue the investments, particularly in technology and advertising are warranted. As a result, we have increased our annual advertising budget by about 10 million to approximately to $250 million. We are going to fish while the fish are biting. And we successfully ramped technology capability faster than we expected resulting in increased throughput. We expect to continue to ramp technology spend by a few million per quarter, as well as we can continue to realize significant customer experience and efficiency benefits. Let’s move to the next slide to discuss guidance. Now, let’s clarify guidance in light of these changes. We are reaffirming our existing EPS guidance range of $1.50 to $1.80. A few of the individual metrics that contribute to EPS need to be adjusted. But the full-year EPS range is still appropriate due to offsetting items. Since there are so many moving parts we are providing some information that should help you level set your models for the rest of the year. Going down the page, on commissions we expect revenue to decrease by $80 million to $90 million for the year. This equates to approximately $1.10 to $1.30 per trade. We would expect our base commission rate to be slightly below $8 per trade for the rest of the year. Total commission revenue is trending to $300 million to $320 million in quarterly revenue. Asset-based revenue on the other hand will be significantly than the original guidance due to balance growth, timing of extensions, and favorable interest rates. Total asset-based revenue was trending to $560 million to $580 million per quarter. Operating expenses are increasing with investments, higher activity levels, and Scottrade-related costs. With increased revenue year-to-date, we are taking the opportunity to increase investments per growth. Also Scottrade-related expenses will be closer to $30 million for the year. As a result, operating expenses are trending to $530 million to $540 per quarter. With all that said, the net impact of all these items on our plan fiscal ‘17 earnings is expected to be neutral to positive. Our original EPS guidance range is still appropriate. And now I will turn the call over to Tim.
Tim Hockey: Thanks, Steve. Well, we’ve reached midway point in the year and it’s been quite a year so far. Strong investor engagement has created a robust environment of money in motion. Clients are revisiting their portfolios, aligning positions with their vision of the future and competition across the industry has never been more intense and we’ve been engaged every step of the way, whether it’s increasing our marketing spend to drive incremental organic growth or fast-tracking technology projects to bring greater efficiencies and automation to the client experience. Growth has been strong and our fundamentals are good. Record new business trends are fueling strong organic growth and we can see much more potential ahead. So, we will continue to strike while the iron is hot and invest in our future. We want to deliver the best investing and trading experience the industry has to offer. That means a lot more work in cleaning just dissatisfies becoming faster and more nimble and continually evaluate how we get things done. We have a large integration on the horizon that depends upon it. And with the driving interest rates providing some needed tailwinds, we have the flexibility we desire to keep our focus on the necessary investing opportunity and explore the things we haven’t even considered yet. And now I will open up the call for Q&A. Operator, over to you?
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Chris Harris from Wells Fargo. Your line is open.
Chris Harris: Yeah, thank you. Just wanted to ask a question about the impact on commissions from the cuts we saw in the industry. The impact on your rack rate was 30%. You guys talked about that. But the guidance is implying around 13% revenue dilution, which is much smaller impact than the rack rate cut. I was just wondering if you could walk us through the moving parts related to that.
Steve Boyle: Yeah sure, Chris. So, this is Steve. The biggest item I think is really how the various negotiated rate schedules that we have interact with the RAC rates, and so what we are finding is that it’s really principally on the equity trades that we are seeing, the biggest impact, and that’s not as bigger part of our business and so as you work through the math, the overall impact isn’t that significant since you are growing through those sort of layers of negotiation.
Chris Harris: Got you. Okay. And then just a clarifying question on the expenses, the quarterly trend lay out here, is that the level you expect to be incurred in the second half of the year as well?
Steve Boyle: That’s for the second half of the year, correct.
Chris Harris: Thank you.
Operator: Your next question comes from the line of Chris Shutler from William Blair. Your line is open.
Chris Shutler: Yes, good morning. The first one is just on the rate sensitivity, the $0.06 to $0.10 for the next rate hike. Could you just maybe dive into that a little bit? What’s embedded and why the change versus the 8 to 10 previously?
Steve Boyle: Sure. So, I think as a general rule, we should expect that as we get further into the rate increase cycle, we will see more and more client sharing. To date, the amount of sharing that’s been done has been less than we would have anticipated. So, there may be a little bit of catch up going forward and so we are seeing that we are sort of getting closer in our guidance towards our terminal betas.
Chris Shutler: Okay. And then I guess separately–
Steve Boyle: And just to clarify, Chris, so that would be on future move, so we’ve done better. We’ve done towards the high end of our previous range on the moves to date, which would include the March move we’ll see for the rest of the year.
Chris Shutler: Yeah, got you. Tim, I think you mentioned the DFA deal, and can you give us a little more detail there and how much lower your pricing is versus your competitors and I guess I'm just curious how you benefit. Is it just attracting more advisors to your platform or is it some kind of revenue share component? Any detail would be great. Thanks.
Tim Hockey: Yeah, it's a great opportunity and a great partnership for us. They're a wonderful firm. We can't really share the details on the pricing, but I can tell you that, yes, it will be quite an attractor for our shared RIA clients to put their assets on our portfolio, on our platform rather.
Chris Shutler: Okay. Thank you.
Operator: Your next question comes from line of Steven Chubak from Nomura Instinet. Your line is open.
Sharon Leung: Hi, good morning. This is actually Sharon Leung calling in for Steven. The first question is on the IDA balances. It's now trending above the high end of your guidance range. Can you give us an update on the trajectory here and also a sense as to the amount that's expected to run off over the next, say, 12 months?
Tim Hockey: Yeah. So, we've seen as you say exceptional growth in the IDA balances, and I’d say there's a couple of components to that. So, one is just we've seen strong client growth, strong client engagement. The other is that sort of as we went through the last quarter, we saw that some of our net buying activity was not as strong as it's been historically and we saw a little bit of a buildup there. So, we do think that there is the opportunity for the balances to decline a bit from here, but we think that will sustain most of the growth that we've seen so far and will be above the level of growth that we had in our original guidance.
Sharon Leung: Okay, great. And then just on the sec lending balances, this continued to tick it down now for a while. Can you give us a sense as to what’s driving that and particularly in the quarter where we had a relatively strong IPO calendar?
Tim Hockey: Yeah. So, when we talk about securities lending, we really need to think about two things. One lending, how much are we using for our operational needs and then what really drives the revenue, which is the securities that we can receive high rates on the hard to borrow type securities. What we're seeing is that we haven't had a lot of operational needs, and so those balances tend to go down. We try to focus on the revenue for securities lending as opposed to the level of balances. When we talk about why the revenue has been fairly modest, what we've seen is that even though we're starting to see a little bit of a pickup in IPOs, and particularly the Snap IPO is sort of a mega IPO that some of these really large ones that come out are above the sweet spot for our securities lending. So, it came out and sort of instantly had a lot of market liquidity, and so there wasn’t a lot of scarcity out there to drive rates up. So, Snap was good for us in a lot of ways. We saw strong trading. We saw a lot of clients that opened new account, that Snap was their first trade, but we didn't see much selective securities lending around.
Operator: Your next question comes from the line of Conor Fitzgerald from Goldman Sachs. Your line is open.
Conor Fitzgerald: Hi, good morning. Tim, just one for you on kind of the asset flows. I think you mentioned retail outflows were higher in the quarter or a little kind of well within historic ranges. Just wondering if there was any pickup in outflows post the pricing changes announced by a competitor in February or whether that was more uniform throughout the quarter?
Tim Hockey: Yeah, there is certainly a lot more activity after the pricing change. And as we said, it definitely ticked up. A number of activities ticked up as a result of not just the change itself, but also obviously the media attention of the various different price changes across the industry. So, there was an uptick and there was also an uptick and things like negotiated pricing, if you can imagine, but that is now moderated down. It was actually a pretty spectacular one of the ways we measure NNA growth is obviously what we call net Acads [ph] which is a way of examining the transfers in and out across the industry and it was - for the firm it was a record net in for the quarter and it was a huge uptick year-over-year. So, part of that is just the elevated level of awareness given the pricing competitiveness in the industry.
Conor Fitzgerald: That's helpful. And, Steve, just on the quarterly expense run rate, I think you called up $30 million of Scottrade expenses for the year. I think you've already incurred $11 million, though, it sounds like there is kind of $20 million to come in the back half of the year. One, just wanted to kind of check that math and then any color on kind of what the professional expenses are. Just trying to get a sense if those are more one timers related to the deal or if we should kind of consider them a permanent part of the run rate?
Steve Boyle: Yeah. So, they're really primarily deal related costs. We don't include any costs that are going to continue on from the organization, even our internally integration teams aren't included in that number and the real difference is that we had estimated some of these costs would happen at deal close and instead we're recognizing them over the period between now and deal close and so it's really just an acceleration of some of the deal costs that we had anticipated.
Conor Fitzgerald: And just the $8 million of kind of deal cost that you had this quarter, do you view those as kind of a permanent part of your expense run rate or is that just temporarily elevated?
Steve Boyle: Those are the one-time cost.
Conor Fitzgerald: And is 20 million coming in the back half of the year?
Steve Boyle: Same thing.
Conor Fitzgerald: Thank you.
Operator: Your next question comes from the line of Mike Carrier from Bank of America Merrill Lynch. Your line is open.
Sean Colman: Hi, guys. This is actually Sean Colman on for Mike. We just wanted to follow up on the net new asset conversation. When we look at the pricing move by peers and the competitive dynamics in the industry, it's impressive to see record new - net new asset growth in the quarter. Can you just give us a little more detail on the type of assets that came in and what you're hearing from clients in terms of value proposition that they're looking for?
Tim Hockey: Yeah. In terms of the assets in and out, I can't give you a lot more detail. That's sort of the macro number, but I can say I probably wouldn't have expected the level of activity up overall. I think it's a combination of a number of things. As we said, the number of clients, for example, trading this quarter was up 10% year-over-year and yet volatility was down pretty dramatically. So, we ended up still having an increase in the record dark number for the quarter, but the asset flows themselves whether it be net new accounts being opened up literally in the 30% levels, I'm quite - it actually gives me quite a bit of reassurance about our value proposition. I mean as we said, we had a $2 premium under the old pricing model. We have a $2 premium to the major competitors in the new pricing model. And as we’ve said, it's all about making sure we have the best client experience in the industry. We've got a lot of work to do I think and it's a constant journey, but it was quite reassuring that at these price points, the level of attraction for brand-new clients and new assets on the platform is still very, very high.
Sean Colman: Okay. Great. Separately, how is your view on M&A change since the announcement of the commission cuts if at all and then are there any particular areas that look more or less interesting now?
Tim Hockey: No real change in view. We’re fully occupied with our Scottrade integration planning and that's going to be a big task for us for the next little while.
Sean Colman: Okay. Thanks.
Operator: Your next question comes from the line of Richard Repetto from Sandler O’Neill. Your line is open.
Richard Repetto: Yeah. Good morning, guys. Good morning, Tim. Good morning, Steve. I guess the first question is on the expenses and I guess it's more for Steve. But if you take the midpoint of the quarterly range that you gave for the next two quarters, you add that for the first and you’re above the top end of your guidance and I guess the question is what Scottrade, even with Scottrade, we get you’re above that. But with Scottrade accounted for in the initial guidance and then does this go against the sort of the strategy of using efficiencies to fund investments?
Steve Boyle: Yeah, Rich, let me take that one. First of all, Scottrade was not obviously in our original guidance and the way I think about our expenses currently is when the pricing action happened in the industry, there was a lot of questions about, oh, okay, you’re going to be slashing your expenses. But obviously one of the reasons why the commission pricing changed was in fact there was an increase in other revenues, which obviously more than offset it for industry players and ourselves included. So, that coupled with our Scottrade deal and the fact that we've got a delayed closing between October announcement last year and almost a full-year before foreclosing. We sort of took this opportunity to say all right, can we move forward some of the advancements in investments whether it be getting ready for the Scottrade integration or the technology investments in both our client experience or our operational savings? As I said, two quarters ago I talked about increasing our throughput that’s being a really important driver for us and I'm thrilled frankly being up about a third or so in our technology project spend and yet literally doubling our throughput is it means to me that there has sort of been a step function increase in productivity in something that we really care about. Those investments directly help our operational efficiency moving forward and our client experience that are almost always virtuous on both fronts. So, I sort of see this as a good expense to spend now, given that we can cover it inside our sort of original EPS range and there is their investments that are paying off.
Richard Repetto: Okay. I don't fully understand what you define as throughput, but I don't want to use that one of my two questions on that.
Tim Hockey: Let me take it, Rich. Throughput I think it's important because we use that term a lot. Throughput to me is for every dollar I spent on a technology project and how much are we getting done of the long list of enhancements, productivity gains that we have. There is always this constant list of projects that we're looking to get done. And when I got here, it felt to me like there was a pent-up demand for notably technology spend to make those enhancements. So, that's why we announced call it a 25%, 30% improvement in the spend rate, but at the same time we wanted to make sure we were investing in getting more efficient for every dollar. So, we upped our technology spend, as I said, by about a third and yet we've seen that we measure output if you will per dollar doubling. So, it's a great combination I think of and we're seeing in terms of the deliverables that we're putting in the market now both for clients, as well as our associates. So, throughput is an important theme around here and I won’t count it against you on your second question.
Richard Repetto: Okay. Well, the second question is more long-term and I'm trying to understand. Do you feel the necessity to moderate or have a long-term strategy if to come back if there were further price compression and you acknowledged that it could be with a lower sensitivity to interest rates that you've somehow funded that's accounting for further price competition? So, I guess the question is the long-term strategy that TD Ameritrade has either diversified - I know you talked about product distribution and dimensional funds, but more detail on that?
Tim Hockey: Yeah, so there is a few things. First of all, the good news is that even if commission rates went to zero tomorrow, we'd still be profitable and that's before our integration with Scottrade and the scale enhancements we get as a result of that. So, we reached that critical mass size where we're fully able to work with the competition in terms of the price structure that seems to make sense, having said that we're quite comfortable with the pricing that we have in the marketplace. If you remember, there are zero dollar players in the marketplace now and have been for quite some time. It's been tried for many, many times over the years. So, there are different revenue models at play in the industry and we happen to have a simple price all-in for the best platform on the street. So, in terms of the additional strategies to make sure that should that day happen, yes, that's why my predecessor before me and the team continues to build out other asset-based monetization strategy starts at that day, but I think that the most recent activity would say we've had a flurry of activity as we've tended to do every five, six, seven years, something like that and it seems to have abated a little bit for now and we're quite comfortable about our strategic position.
Steve Boyle: I think too, Rich, in terms of the expense growth, what we're seeing is except for the incremental Scottrade-related expenses which are really just a poll forward of the one-times, what we're spending money on we think is either going to improve our efficiency over the long-term, its automation items, or we think it's going to accelerate our growth either through better client experience, new product offerings or in the case of increasing our advertising and our investor services spend, increased sales in that new assets. We're also seeing higher incentives during the quarter related to the higher volumes that we're seeing.
Richard Repetto: Got it, thank you.
Operator: Your next question comes from the line of Brian Bedell from Deutsche Bank. Your line is open.
Brian Bedell: Hi, good morning, folks. Just on the back to the pricing competition dynamic, do you have a sense of - obviously your organic growth held up very well considering everything. Give a sense of how it impacted Scottrade, yeah, I would think that the target of a lot of the pricing competition with Scottrade customers and then maybe also how you think about the price cuts from an industry perspective, did it attract more flows to the entire online broker industry.
Tim Hockey: So, it's Tim, Brian. On the Scottrade question, we're in a bit of a delicate period as you can imagine. We're still two separate competing companies. So, we can't talk about how factors impacted them. Of course, our teams are working on integration planning, but we try and stay away from that and it certainly wouldn’t be my place to comment until the deal was closed. On the industry flows, it's tough to ascertain in fact, but if you go back to my original point earlier, it sure feels like just the heightened level of - well, let me answer it differently. If you had asked me before the round of competitive pricing changes whether those changes would attract additional assets into self-directing project, because the cost of the trade was lower, I would have said, well, that's the pricing theory. But because of the rate is a lot lower than economics - than it has been in the past, I wouldn't have expected it to have much of an impact and yet the activity seems to show two things happened. There might have been new assets being attracted to the industry overall, so the pipeline might have got larger or it might have just got more money in movement as a result, as I said, of the shared level of media attention. It's tough to ascertain at this point.
Brian Bedell: Right. Okay. That’s good. That’s good color. And then maybe just - maybe back to the deposit beta question, obviously the experience so far has been better. Just to clarify, Steve, the asset-based guidance of 560 to 580, that's only on the March hike, not future hike, is that correct?
Steve Boyle: It does include a hike later in the year, so effective. I think it's hike effective in August.
Brian Bedell: Got it. And then just on the deposit beta that you mentioned so far good experience there, you would expect that to move up significantly in the next hike and then what would you view as your sort of terminal, you mentioned the terminals deposit beta.
Steve Boyle: Yeah, so we talked about historically like a 40% beta. We think it's going to be long time before we get there. And as I said, our experience to date has been quite positive and it would seem like the industry with some of the pricing changes is going to probably not - but we may see modest betas in the near term here, so we'll continue to evaluate it with each move.
Brian Bedell: Okay, great. Thanks very much.
Operator: Your next question comes from the line of Dan Fannon from Jefferies. Your line is open.
Unidentified Analyst: Great, thanks. It’s actually [Indiscernible] for Dan today. Just a quick question with respect to the rebate programs that you’ve kind of discussed in the past I think with respect to the Amerivest plans. Could you maybe just give us a sense I think they were being phased out, but where that kind of stands now? I know there was some discussion around kind of some I guess increased reserves around rising interest rates, but if you could give us a little color there. That would be helpful. Thank you.
Steve Boyle: Sure. So, we are reaching the end of that program. I think there's only two quarters left. We had a very strong quarter this quarter and so essentially all the portfolios, all the material portfolios were up and so that meant that over the last two quarters there was no need for any rebate. So, we had a very modest reserve that we put up last quarter and we reversed it this quarter, but it’s really de minimis.
Unidentified Analyst: Okay, helpful. And I guess just a quick follow-up. Any other initiatives out there that are sort of just being introduced or being put in play just to attract closer to with respect to the new robo plans or other portfolios?
Tim Hockey: Well, nothing really that other than - I think I went into quite a bit of detail about the things that both have been launched, as well as some examples of what we've been working on, but I’d say generally quite pleased as I said in my answer to Rich, just the level of engagement around new enhancements. I’m obviously not going to pre announce them here, but talk about them in the future. But I’ve been quite struck since getting here that with - again a relatively modest increase in technology spend were really piling through the backlog if you will of ideas and investments for both experienced change and improvement for our clients as well as for our associates and as I said and I think Steve made the point, most of these investments generate two big benefits, usually operational improvement and an efficiency gain as well as a client experience enhancement. And new technologies are coming along all the time that enable us to do that even faster, so good - hope to be able to tell you more about these enhancements in quarters to come.
Unidentified Analyst: Great, thank you and that’s it for me.
Operator: Your next question comes from the line of Doug Mewhirter from SunTrust. Your line is open.
Doug Mewhirter: Hi, good morning. I just had a few questions, one on the IDA yield and one on Scottrade. First on the IDA you had - and maybe an obvious question that I’m missing. So the original guidance range you had between 100 basis points and 95 basis points a year and obviously we are fairly well above that. And I assume that with the revised guidance range, you’re assuming that you’re going to be - you’re going to stay above that 95 to 100 basis point range because it sounds like what’s rolling on is being reinvested what’s rolling off. I just want to clarify that because I know that it’s invested across the curve and it can bounce around quite a bit and also if you kind of have a new range in mind that would be helpful.
Steve Boyle: Yeah, so we’re not going to go through the specific ranges on the call, but I think if you think about it this way and you say, the increases that you’ve seen in the IDA are largely due to the December rate increase as well as extensions at much higher rates than we had originally anticipated. If you look in the appendix the longing in the curve is above the high end of our guidance range. In addition to that you really haven’t seen the impact of the March 25 basis point increase and as we said that increase is going to be a little bit better than we had originally expected. I think we gave $0.08 to $0.10 and we’re a little bit at the higher - above the high end of that range due to lower bids on that move and so that should give a boost to the IDA in the second half of the year over and above the 113 rate that you’re seeing and that’s driving a large part of the higher guidance range you’re seeing.
Doug Mewhirter: Great, that’s helpful. And Tim, I know it’s hard to talk about still with Scottrade, but maybe in terms of what the future construction of the two companies would look like together. With the increased pricing competition, I know that sort of puts pressure on the business model a little bit although you’re making it up on the asset side. Is that sort of changed the way that you view the combined organization in terms of may be how many branches you would keep open, is that raised the bar on what individual branch profitability will look like or even some of the other initiatives that would look like in a merged Ameritrade, Scottrade organization.
Tim Hockey: Great, thanks for the question. So question is back in October when we announced this deal would we have done anything different or announced any different sort of range of branches et cetera relative to where we are now in pricing. Well, first remember that Scottrade was already at that price point that we’re currently at, so from a client point of view that sort of removes the potential to start as [ph] higher depending on what we would have done with our price ranges, is first thing. In terms of the branches, what we said then and I think it’s still very true is that to deliver the best client experience, what we’re looking for is the best combination of high tech and high touch and the fact that our range originally announced was 400 to 450 branches. We’re still somewhere in that particular number and of course the planning goes on a market-by-market basis now with our Scottrade partners to try and figure out exactly which locations and when and why and so we’re getting more educated on that as opposed to just the sort of high level view you do during due diligence. Obviously scale matters even more and we like the fact that both Scottrade and ourselves have continued to do well in this environment leading up to the close. So I would say, no, it doesn’t change our view in any way given the current activity and we’re looking forward to a close later on this year.
Doug Mewhirter: Okay, thanks very much.
Operator: Your next question comes from the line of Chris Allen from Buckingham Research. Your line is open.
Chris Allen: Good morning guys. I just wanted to ask on the margin lending changes, the pricing impact and negotiated rates which I believe are roughly over 50% of the book. Any color in terms of what that is expected to do the yield moving forward in terms of the next quarter.
Steve Boyle: Yeah, so we should see a lift there from the negotiated pricing. I think you’re right that it’s around 50% of the book. We’ve seen, while we’ve seen better deposit data’s than we had expected. We have seen a higher level of negotiation in the margin book, so a little of that may be dissipated overtime, but you should see a bump starting next quarter.
Chris Allen: Would that be a full 25 basis point bump or some -
Steve Boyle: Yeah, it will be like - like you said, you have to take the pro rata of how much is negotiated which is a little bit around 50%.
Chris Allen: Okay, good. And then I just saw a recent news article just on transfer fees for RIAs in terms of referral fees. It sounds like you guys went through a basis point referral fee where the percentage of revenues prior and this brings you more in line with Fidelity and Schwab. Just wondering if you could give us any color there, expected revenue impact there?
Tim Hockey: Yeah, so made that change a few weeks ago, essentially we took a look at our advisor direct program and revenues. We tried to normalize from what was an inconsistent - consistent basis point, but inconsistent depending on the fee scheme of the original RIA client that was getting the referral to basically a flat rate across all of our RIA partners. So as a result, it was more on keeping frankly with some of the tenants that the dealer rule [ph] and the interest was and essentially it’s no real financial impact on either way. So it’s a cleaner model removes any potential doubt of any kind of interest on that point.
Chris Allen: Great, thanks a lot guys.
Operator: There are no further questions at this time. I’ll turn the call back over to management.
Tim Hockey: Great, thanks everybody for taking the call. Wonderful quarter from our point of view and we’ll talk to you in a few months.
Operator: This does conclude today’s conference call. You may now disconnect.